Operator: Greetings, and welcome to the Celanese Corporation Q4 2024 Earnings Call and Webcast. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce Bill Cunningham, Vice President of Investor Relations. Thank you. You may begin.
Bill Cunningham: Thanks, Daryl. Welcome to the Celanese Corporation Fourth Quarter 2024 Earnings Conference Call. My name is Bill Cunningham, Vice President of Investor Relations. With me today on the call are Scott Richardson, President and Chief Executive Officer, and Chuck Kyrish, Chief Financial Officer. Celanese distributed its fourth quarter earnings release via Business Wire and posted prepared comments and a summary presentation of key 2025 actions on our investor relations website yesterday afternoon. As a reminder, we will discuss non-GAAP financial measures today. You can find definitions of these measures as well as reconciliations to the comparable GAAP measures on our website. Today's presentation will also include forward-looking statements. Please review the cautionary language regarding forward-looking statements, which can be found at the end of both the press release and the prepared comments. Form 8-K reports containing all of these materials have also been submitted to the SEC. Before we open it up for questions, I'd like to turn the call over to Scott Richardson for some opening remarks.
Scott Richardson: Thanks, Bill, and good morning, everyone. I strongly believe Celanese is a company that has cash generation, productivity, and cost reduction in its DNA. These core competencies have driven shareholder value over our twenty years as a public company. We are keenly focused on invigorating and capitalizing on these foundational capabilities in how we lead and drive business every day to improve performance and drive value creation. My first two months as CEO have been about prioritizing and driving action. Decisive steps we have taken to date include the following: We've executed on over $75 million worth of cost actions that we outlined in our Q3 earnings call. We've reduced our 2025 capital plan to $300 to $350 million, which is about a $100 million reduction versus our spend last year. We've added a new leader to the Engineered Materials business in Todd Elliott to bring a fresh perspective and new energy to reducing complexity and driving improved results. We have added Chris Kean and Scott Sutton to our board of directors to bring additional finance and operational expertise to our boardrooms. Given the prioritization of cash generation, margin expansion, productivity, and deleveraging, we have added a finance and business review committee to the board of directors, which Scott Sutton and I will jointly chair. This committee will help evaluate all options to improve the company's operating model performance, drive cash generation, and review our portfolio. We are taking the right steps to accelerate shareholder value creation and restore our performance at top decile levels in the industry. We are moving forward with intensity and aggressiveness and are not hesitating to make all changes to generate cash and deleverage the balance sheet. We know the journey in front of us is not an easy one, but we are energized by the opportunity ahead. We will share wins no matter the size as we progress in the coming months. I look forward to reporting on our progress as we advance our plans to improve performance and drive value creation. Thank you. And now, Daryl, let's open the line for questions.
Operator: Thank you. We will now be conducting a question and answer session. You may press star two to remove yourself from the queue. One moment, please, for the first question. Our first questions come from the line of David Begleiter with Deutsche Bank.
David Begleiter: Thank you and good morning. Scott, you mentioned some divestitures in the prepared comments. Could you get some sense of potentially the size of these divestitures and when they might occur?
Scott Richardson: Yeah. Thanks, David. Look, we've been working aggressively on divestitures for some time now. And, you know, we did a transaction a few years ago with the food ingredients business, and I would look at most of what we're looking at as kind of around that size. Some smaller, some maybe slightly a little bit bigger than that. But that's kind of the right range to look at the opportunities that we have.
David Begleiter: Yeah. One more thing. I know equity raise is not your first choice, but given where the balance sheet is today, what are your thoughts on potentially raising equity at some point to help delever the balance sheet?
Scott Richardson: Our capital structure is to fund our acquisitions with debt. In addition, we're unlocking cash from actions we've taken on the dividend reduction of CapEx, reducing working capital, and we're aggressively working divestitures as I just talked about. Look, equity is extremely dilutive, and we don't believe that's a step that's necessary given the strength of the debt market.
Chuck Kyrish: Yeah, David. Hey. I can add to that. Look. As Scott mentioned, we're taking numerous actions to reduce leverage. But what you're also gonna see is continue to do in the meantime is be proactive in reducing the risk in our debt maturities. We have a plan and we've prepared to access the debt markets quickly and opportunistically, and the credit markets are very strong right now. Yeah. The principles around that are gonna be to extend a portion of our more near-term maturities aligning what remains with our cash generation. And we'll make sure and do that at a prudent and reasonable cost.
David Begleiter: Thank you very much.
Operator: Thank you. Our next question has come from the line of Frank Mitsch with Berenberg Research. Please proceed with your questions.
Frank Mitsch: Hey. Good morning. I wanna dive into your outlook for the first half of the year. As you talked about the second quarter, you indicated that it wouldn't have the $100 million of non-repeating items that are impacting the first quarter. And yet if I look at the dollar increase expected versus the first quarter, that only implies, like, $20 million or so of improvement from volumes and SG&A, etcetera, which frankly, you know, looking at Q2 versus Q1, that really doesn't seem like that much. Can you help explain some of the thinking there?
Scott Richardson: Yeah. Thanks, Frank. Look, we're getting some of that here at the end of the first quarter. In that number, not a lot, a little bit. And so that incremental in the second quarter is about that right range you talked about. There's, you know, most of it will be on the run rate in the second quarter certainly to get to the full kind of $80 million that we called out, and we're continuing to work additional actions. So look, it's really important that we look at what we see right in front of us and be transparent with that. We're working a number of other actions to lift not just the back half of the year, but also work to get more in Q1. We're gonna do it and we're gonna do everything we can to make that Q2 number bigger than what you called out.
Frank Mitsch: Gotcha. Thank you. And then the other thing in the prepared remarks was a comment that free cash flow for 2025 is poor. And I'm curious if you can kind of go through, you know, kind of order of magnitude that the street should be thinking about and how do you get there?
Scott Richardson: Well, Frank, you know, we haven't given the guide, you know, for earnings at this point in time for the year. But what I wanted to lay out is free cash flow below the EBITDA line that we do expect to improve significantly year over year. Right? So working capital was a use of cash last year, expect to be a source of cash. Cash tax will be significantly lower. You know, we've lowered CapEx, you know, roughly $100 million. Right? So, you know, before giving a guide for earnings as we're kind of working through several things, I just wanted to lay out areas in free cash that will improve year over year.
Frank Mitsch: Thank you.
Operator: Thank you. Our next question is coming from the line of Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Thanks very much. Scott Sutton has been brought into the board of Celanese. I was wondering, Scott, if you played a role in bringing him in or what role you played in Scott coming to the board?
Scott Richardson: Look, Scott and I have known each other for a long time, and I'm thrilled that Scott agreed to join the board. I think we have been on a path as a board that's been very deliberate in how we refresh the board with capabilities that are gonna help us navigate the landscape that we're in, and Scott's the latest addition. And, you know, he brings unique capabilities and has a track record of accelerating cash generation, deleveraging, value creation, and I'm really excited that he's gonna help us in this journey.
Jeff Zekauskas: Second question is in your prepared remarks, what you said was that over time, you reduced costs associated with the M&M acquisition by about $250 million. And then later in the script, what you say is that there's been competitive dynamics in your largest product lines like nylon, which offset year-over-year improvements made to the cost position, you know, as well as lower raw materials and manufacturing footprint cost reduction. So when you look at the M&M business from the time that you acquired it, like, where do we stand now? Is the EBITDA really no different? Because price degradation has offset all of the cost improvement, or, you know, can you give us, like, where did we start and where are we now with the M&M acquisition?
Scott Richardson: Yeah. We have increased the EBITDA from M&M when you look at the synergies versus where it was when we closed the transaction, Jeff. And, you know, we have seen margin degradation in some product lines within the M&M portfolio. We've also seen some margin degradation in some of the product lines in the historical Celanese portfolio. We've also seen several product lines that have expanded margin. You know, this is a critical area of focus for us this year. You know, reversing this margin compression that we've seen, you know, broadly across the standard part of the EM portfolio is a critical action for us that we need to deliver on to kind of lift the second half of the year.
Operator: Thank you. Our next question has come from the line of Michael Sison with Wells Fargo. Proceed with your questions.
Michael Sison: Hey, guys. Good morning. I maybe a follow-up on M&M. Could you maybe just give us your thoughts on, yeah, is this a good business for Celanese longer term? I mean, what do you think the potential is here and how do you sort of get it there? And, you know, I suspect there's some macro help that you'll need there, but just, you know, what is the potential for M&M now going forward?
Scott Richardson: Yeah. Thanks, Mike. I mean, we've seen some challenges, but we've also seen some strength in several of the businesses. I mean, our high temp nylon portfolio that we acquired with the business has been a nice source of growth for us in electric vehicle applications, you know, with things like superior thermal shock characteristics in certain application areas. You know, we have also seen kind of the elastomeric products that we acquired have been have given us kind of a new growth platform in athletic apparel and footwear that we didn't have before. So there are, you know, really nice pockets of opportunity for us, and we've gotta go really aggressive on the nylon portfolio as well. And so we've gotta keep kind of keeping this machine moving from a pipeline standpoint, and we've also gotta make sure that we, you know, aggressively work the cost side of the equation just given where, you know, the fundamental macro is at.
Michael Sison: Got it. And then, you know, most folks haven't given an outlook for the full year 2025. I understand that. But, you know, should EBITDA be better in the second half versus the first half and maybe if you don't have specifics, you know, what should be better or could be better in the second half? In terms of the walk for a better EBITDA. And then can you just give us your general thoughts on what the economic backdrop we should think about in 2025 for Celanese?
Scott Richardson: Our focus is on moving with urgency, Mike, to take decisive actions to be able to drive wins. The actions that we're taking, we believe, you know, will be unique for us to drive value in the out quarters here. You know, we talked about the complexity reduction, $50 to $100 million of opportunity in EM. We need to make sure that we're fully leveraging the optionality model, which was challenging in the second half of last year. Historically, we've been able to drive good value by flexing up and down the value chain there. And the third is getting back to this point I just talked about on reversing margin compression in both the standard parts of the engineered materials portfolio but also in the acetyls business.
Operator: Thank you. Our next question is coming from the line of Ghansham Panjabi with Baird.
Ghansham Panjabi: Thank you. Good morning, guys. Scott, first off, congrats on your new role and best wishes with everything. I guess, you know, going back to the EM segment and the new leadership there, you know, just curious as to how we should expect strategy to sort of evolve versus what you have been doing. And then relatedly, can you just comment on your view in terms of channel inventory levels downstream to that segment, you know, the customer level, etcetera?
Scott Richardson: Yeah. Look, Todd Elliott already is bringing intensity and focus around everything that we do. Looking at cost and opportunities, whether it be footprint, warehousing, distribution cost, SG&A, etcetera. Also on the customer side, as you talked about. And it really is about looking at the pockets of opportunity that are out there and accelerating in some of those higher growth segments like medical, like electric vehicles in China, future connectivity. And so you're really getting to that customer segment level. Defending the base is gonna be important, but then also accelerating growth and driving, you know, project wins no matter the size.
Ghansham Panjabi: Got it. And then, you know, obviously, Scott, we've been in a two-year global manufacturing slump. You know, been pulling levers on the cost side and working capital the best you can. But what are some of the other contingencies you have at your disposal in this scenario that, you know, the current paradigm continues for another year or longer in context of your debt load? Thanks.
Scott Richardson: But I believe there's always more that can be done, Ghansham. And, you know, I think we've shown that with cost given where, you know, the demand landscape is at. We are looking at, you know, really all elements of the business. And I just kind of highlighted on the engineering material side of things with these actions that we're taking to reduce complexity. We have some of the similar things on the acetyl side of the house as well. And so it's really about kind of taking a no stone unturned approach to everything that we're doing and also then looking at really almost every single customer interaction on how we can drive incremental opportunity and then also make sure we're really extracting full value on the margin side.
Operator: Thank you. Our next question is coming from the line of Josh Spector with UBS. Please proceed with your question.
James Cannon: Hey, guys. This is James Cannon on for Josh. Thanks for taking my question. I just wanted to ask on earnings power of the acetyl business. I think previously you said 2024 was a typical run rate for the near term. I think if I think about the contract resets, that would be an incremental call in $40, $50 million headwind this year. Is that the right ballpark, or is there something to offset that gets us back to the $1.1 billion?
Scott Richardson: Well, go after what I just said, James. There's always opportunity for us to drive margin. And we had some contract resets. The team is working really hard to offset those. That's been hard in Asia with where the supply-demand landscape is at. But we're looking for ways at which to leverage our optionality model there and flex up and down the value chain to be able to offset that and get back to those levels that we were at in the first half of last year.
Operator: Thank you. Our next question comes from the line of Vincent Andrews with Morgan Stanley. Please proceed with your question.
Vincent Andrews: Thank you. Has anything changed, Scott, about the scope of assets that you might consider divesting? And I just ask that because you mentioned in the prior answer that the size would probably be similar to the divestiture that was done with the food ingredients. And my recollection was that in the past, more recently, we've been talking about maybe multiple smaller active divestitures rather than the opportunity to sell a few things or one thing at a larger cost? So are you looking wider or deeper or anything changed in terms of what you're willing to divest?
Scott Richardson: Yeah. We're looking at everything that is not critical to kind of our core operating model, Vincent. And that's really, you know, this engineered thermoplastic, thermoplastic elastomers portfolio in the engineered materials business and our optionality model that starts with methanol and acetic acid and goes all the way through redistributable powders. And if not in those operating models, we're taking a look at it. But it needs to facilitate deleveraging, and so, you know, that size I talked about was kind of in that range, but I also said plus-minus. So there is a series of smaller ones that, you know, we get you that when added up are in that range, and then there's some opportunities that are a little larger.
Vincent Andrews: Okay. And then in the prepared remarks, you talked about the dissolution of the JV with Tayshaun on the Mylar. Is there anything else about your asset footprint that you're looking at? Maybe areas where you're not as advantaged or places where it might make sense to take capacity out of the market?
Scott Richardson: We believe in having an efficient footprint, Vincent, and ensuring that we fully leverage the strong technical capabilities that we have in-house here at Celanese. I think, you know, we have a long-term history of reducing our footprint but yet adding capacity at our advantage sites. And that principle, that core principle of manufacturing is what we're leveraging to these M&M assets as well. By doing that, you get much greater leverage on fixed cost. And so we're consistently looking at opportunities to do that. We've taken action. We reduced our footprint by eight sites since we did the acquisition, and we're continuing to look for opportunities to be as efficient as possible.
Operator: Thank you. Our next question is from the line of Arun Viswanathan with RBC Capital Markets. Please proceed with your question.
Arun Viswanathan: Thanks for taking my question. Hope you guys are well. And congrats on the new roles there. So I guess two questions. So first off, I know that you've taken actions on eight sites there and evaluating some more options as well and divesting of other assets. But is it also the case that there has been some structural weakness in the auto market and you guys are potentially overexposed to underperforming regions, such as Europe? Do you think because we've seen this inventory overhang now for two or three quarters and then I think you guys have taken decisive action in Q3 and Q4 as well, but it doesn't seem like that's been enough to really clear out the inventory. So do you think the actions in Q1 will result in that inventory reduction, or would they linger beyond into Q2 and Q3?
Scott Richardson: The value chain has too much inventory. We talked about that on our last earnings call, and we are working to match, you know, our inventory levels with where, you know, the fundamental demand is at. You know, demand has held pretty stable here in the first quarter. But the value chain is rebalancing the inventory book. That's our channel partners, it's the tiers, the molders, and the end customers. And so, you know, the line of sight that we had today based upon, you know, outlook is that we would see that come to a closure in the first quarter.
Arun Viswanathan: Okay. Great. And then if I can follow-up, just on the guidance, it looks like the Q1 guidance, again, is in the $400 million or so EBITDA range, maybe slightly below that. Do you expect that to kind of lift up through the year maybe into the $1.5 billion to $2 billion range on an annualized basis? And, again, that'd be, you know, more of second half weighted. Is it mostly those cost and productivity actions that we get you there, or does it require some recovery and volume growth as well? Thanks.
Scott Richardson: Look, our focus is on the decisive actions that we're taking right now. We can't control what happens in the macro, but we can focus on, you know, where we spend money, how we drive a level of efficiency, how we interact and access our customers to drive opportunities. And one of the things we called out is, you know, a focus on smaller projects in engineered material. One of the great things about smaller projects is they tend to be able to be commercialized in six to twelve months. And so it is very important that we continue to work that with a level of aggressiveness, you know, to be able to improve kind of that outlook in the second half.
Operator: Thank you. Our next question is coming from the line of Patrick Cunningham with Citi. Please proceed with your question.
Patrick Cunningham: Hi. Good morning. Thanks for taking my questions. You know, some estimates we see on, you know, acetic capacity, you know, upward of three million tons in 2025. You know, maybe a little less on the BAM side but still meaningful capacity in the next few years. Now, what gives you confidence that there will not be, you know, significant incremental impact from near-term capacity? And what does, you know, what does this capacity mean for utilization rates of your own network?
Scott Richardson: We don't see a big change coming in the supply-demand landscape, Patrick. And, you know, where things are today is the SBL industry is operating below the cost curve. And that's not sustainable. It's not been historically sustainable. And we haven't seen things degrade further even though we see new capacity. And so we continue to look at where are those pockets of opportunity up and down the value chain and asset yields where we can pivot. And the team was successful last year, you know, growing, for example, our redisperseable powders business, you know, largely outside of China and other parts of Asia like India and Southeast Asia, you know, where there was a strong pull and growth for, you know, some unique applications such as composite insulation systems, large style of thesis. And so it seems like that that are gonna be critical where we'll partnering with our customers to get the full pull through of that value chain where we have unique technology.
Patrick Cunningham: Got it. Understood. And how should we think about, you know, incremental benefits from Clear Lake into 2025? I mean, are volumes any sort of offset to contract resets here? Is there any reason why run rate utilization should get, you know, worse than where you exited the year, whether it's raw material availability or depressed demand levels? Just trying to understand the US operating footprint here.
Scott Richardson: Look, we're seeing the full run rate of the expansion offset from some of those contract resets, which is why we're working other opportunities to offset that. You know, we've got some natural gas headwind in the US to start the year. That is, we've seen higher cost, but we do expect that that will wane and come off as the weather improves and we move into the second quarter.
Operator: Thank you. Our next question is coming from the line of Aleksey Yefremov with KeyBanc Capital Markets. Please proceed with your question.
Aleksey Yefremov: Thanks. Good morning, everyone. So it sounds like you're deliberately reducing inventory in EM in Q1. Is it possible to size it in terms of EBITDA so that we can understand how much could potentially come back in the second quarter from this deliberate action?
Scott Richardson: It's really not that substantial, Aleksey. I wouldn't say it's kind of material like we thought in the fourth quarter.
Aleksey Yefremov: Okay. And a follow-up on EM as well. It looks like pricing came down maybe low single digit for the segment in Q4. What do you expect from price in Q1 and potentially Q2? Another step down or stabilization?
Scott Richardson: What we are seeing right now is stabilization for the most part. You know, we're having to be competitive in certain standard grade applications, but the team is also working tenaciously on offsets. I mean, this has been a headwind, but again, in these standard grade applications, you know, where margins are at for the industry are really at unsustainable levels. And so we are working on opportunities to be able to turn that tide. The best way to do that is improving mix, and that's what the critical of working the pipeline and continuing to be successful in some of these more unique higher growth, higher margin segments.
Aleksey Yefremov: Thanks, Scott.
Operator: Thank you. Our next question has come from the line of Kevin McCarthy with Vertical Research Partners. Please proceed with your question.
Kevin McCarthy: Yes. Thank you and good morning. Scott, are you essentially running Celanese today to maximize cash flow as opposed to maximizing earnings, or is that not the case? And you're really trying to strike a balance between the two.
Scott Richardson: With cash as a priority, Kevin, you know, given where our debt is at, we are looking to do everything that we can to unlock cash. And I think some of the actions that we have taken, whether it be the dividend, the reduction of capital, the reduction in working capital, and the tenacious focus there, as well as aggressively working on the divestiture side, it is a focus on cash first.
Kevin McCarthy: Okay. And then if I may, want to follow-up on acetyls. I think you idled some capacity temporarily in Singapore and Frankfurt as you discussed in the prepared remarks last night. Do you do that because they go temporarily cash negative or perhaps for a different reason? And, wondering if you could talk about your specific operating rate at Clear Lake in the fourth quarter and how you expect that to trend in the first quarter?
Scott Richardson: The acetyl team wakes up every day, Kevin, and looks at the landscape that it's in, and it pivots. And it pivots up and down the chain. It pivots geographically where it sells, and then we match operating rates to the needs to maximize, you know, margin and EBITDA across the landscape. And to meet our customers' needs. And that is a model that that team will continue to operate on, and we'll continue to focus on, you know, striking that right balance between volume and margin.
Operator: Thank you. Our next question has come from the line of Hassan Ahmed with Alembic Global. Please proceed with your question.
Hassan Ahmed: Morning, Scott. First of all, congratulations on the new role and also congratulations on bringing Scott Sutton on board. Big fan. First question on the guidance. You know, you guys talked about $0.25 to $0.50 in Q1 EPS and $1.25 to $1.50 as demand recovers in Q2. Now, I mean, if there is no change in the macro, how do you get from $0.25 to $0.50 to $1.25 to $1.50 as the run rate?
Scott Richardson: We're doing everything that we can to drive our run rate much higher than that, Hassan, and it's the actions that we talked about. And, you know, our focus on not giving a guide in the second half is because we have multiple actions that are underway. May I talk about the complexity reduction in engineering materials? You know, riding our acetyl optionality model to a level that was that performed better than we saw at the end of last year and then this margin compression component. In addition to everything else we're doing broadly across the cost side in SG&A and the manufacturing footprint. So we believe that there are decisive opportunities and actions that we can take here at Celanese to lift the run rate performance even if we don't see a change in the macro.
Hassan Ahmed: Understood. And in the presentation, you know, one of the things that you guys talked about was, well, I guess you gave six reasons to own Celanese shares today. And one of them was the strong earnings leverage, you know, as obviously demand recovers. My question to you is, you know, as you take a look at the geographic footprint you guys have, as well as the end markets you guys are exposed to. Is the leverage the same today as it was in prior years, particularly, you know, as you look at the sort of changing sort of dynamics globally with tariffs out there, with your exposure to EVs, and you guys yourself flagged, you know, the higher exposure to EVs that China today has and how that today is lower margin business than it was historically.
Scott Richardson: We have a core principle that we believe in having a very efficient manufacturing footprint. You know, we acquired the M&M business, their footprint was not as efficient as what we had historically here at Celanese. As a combined organization, we are looking at what is the right efficiency profile that we need, and we're overlaying what we believe and where things are at from a demand perspective geographically. And it's that matching that's really critically important. And, you know, as a corporation, we are pretty evenly split between Americas, Europe, and Asia in terms of where our revenue comes from. But Asia is growing and Europe is declining, and so it's gonna be very critical that we continue to drive that intersection point to a level that allows us to enjoy kind of that operating leverage that we historically have.
Operator: Thank you. Our next question comes from the line of John McNulty with BMO Capital Markets. Please proceed with your question.
John McNulty: Yeah. Good morning. Thanks for taking my question. So Scott, when you think about the acetyl capacity that's coming on in Asia, have you seen any offsets where you're seeing closures, you know, assets coming down permanently? It looks like there's a significant amount of more capacity still to come. So just wondering, how that gets placed and works. It's just gonna have to be where we wait for demand to absorb it all.
Scott Richardson: We haven't seen, I'd say, permanent capacity reductions. We definitely have seen the industry operating at lower rates, and, you know, I think what's a little bit different about this cycle on capacity adds, first what we saw fifteen years ago. Fifteen years ago, it was all almost all new players to the marketplace. This is about fifty-fifty existing players having capacity and some new players. And so, obviously, for those with existing capacity, they're kind of flexing their networks up and down based upon what they need. So we have definitely seen probably a little bit more kind of down to match where demand is at.
John McNulty: Okay. Fair enough. And then I guess do you see there being any risk that that capacity makes its way more meaningfully into other markets, or does it really kind of stay in the market that it's been over the last, you know, whatever the last few years?
Scott Richardson: That arbitrage window is not open, and, you know, it's kind of stayed right at or below kind of what it costs to move product. And, look, shipping is expensive and complex, and storage is complex as well right now in other markets. And so, you know, just given transit times, etcetera, we have not seen a lot of that move out of the region.
John McNulty: Got it. Thanks very much for the call.
Operator: Thank you. Our next question has come from the line of Laurence Alexander with Jefferies. Please proceed with your question.
Laurence Alexander: Good morning. So first on the divestitures, are these assets that you've decided you just don't fit in the portfolio and you will exit even if things get better, or as things get better, would you, you know, keep them and, you know, focus on deleveraging through other means? And secondly, with acetyls, can you elaborate a little bit on kind of the execution issues in the back half of last year? And to the extent that they've been changed or fixed, you know, should we see the improvements this summer regardless of the environment, or do you need a better level of aggregate demand in order to also fix the execution issues that you've identified?
Scott Richardson: Yeah. Let me hit your second sort of execution issues. I think it was just a length and supply-demand really driven by kind of where demand declined at the end of the year. And look, the team's doing everything we can to really flex that model up and down the value chain and look for pockets of opportunity. On your first question around divestitures, look, I think we have identified pieces that are not, you know, critical to kind of those core operating models, and we're looking at and having a lot of conversations. I mean, it has been, you know, a tough M&A market the last several years. And, you know, we are very principled, and I've heard from a lot of investors that are concerned about, you know, us buyer selling assets. We're not in the business of fire selling assets. Our focus is on divestitures to drive deleveraging, and it's gonna be important that we continue to stick with that principle and be aggressive about doing deals as they present themselves to us.
Operator: Thank you. Our next question is come from the line of John Roberts with Mizuho. Please proceed with your question.
John Roberts: John, could you check if you're muted, please?
Operator: Okay. Well, Daryl, it seems like John might be muted. Let's go ahead and make the next...
John Roberts: We can hear you now. Yep. Oh, sorry. Yeah. Sorry. Yep. Congrats, Scott, and welcome back to Scott Sutton. Could you talk about the new JV rules in China? We have other companies with China JVs, and I don't recall hearing anything about those. Is it all JVs in China or something specific to the Celanese kind of JVs?
Scott Richardson: Yeah. I look, I think some JVs have gone through some of this and some haven't. It's really related to the rules that govern certain JVs, and really what changed here is that there's a rule that requires an audit to be completed before dividends can be paid. And so that audit gets completed here in the first part of the year, and so we should see dividends starting too. So that's a rule change that at least our JV is now subject to.
John Roberts: Okay. Well, Daryl, thanks. Let's make the next question the last one.
Operator: Thank you. You got it. Our last questions will come from the line of Salvator Tiano with Bank of America. Please proceed with your question.
Salvator Tiano: Yes. Thank you. So firstly, I want to ask a little bit about, you know, as you're thinking here about if you talk a little bit about the packets of cost savings, I know you mentioned also the $50 million, the sorry. The $50 to $100 million from complexity and $80 million SG&A, but I think last quarter, we're talking about some of the M&M co-synergies not being realized in 2024 and that's being pushed in 2025 and Clear Lake, obviously, the $100 million also not fully realized last year in part due to the personal share. So are these part of this package you already gave, or is there upside from this, especially on the Clear Lake side?
Scott Richardson: Look, we achieved $250 million of synergies as we exited last year, Sal. And we still have more that are in our plan to be realized here this year. You know, clearly, like, we're on the run rate as we talked about. There's been some offsets from margin compression, and that's why I really talked about that as a critical element of focus for us on really reversing that trend as we go forward so we get the full value of these actions that have already been executed on. We are looking at driving productivity every single day. Looking at every dollar that goes outside of the company, and where we can save and where we can prioritize. And this is a focus on cash. And so, you know, that tenacity will continue. Everything is on the table.
Salvator Tiano: Perfect. And I won't go back to your old exposure to China to equal the number of questions. I'm just wondering, how are things different in China versus Europe and the US when it comes to the OEM? And a big tailwind for Celanese has been obviously light weighting and replacing metal, wood, and other components with plastic. Is there a bigger or a smaller opportunity right now in Chinese models versus what you had in the Western Hemisphere over the past couple of decades?
Scott Richardson: Look, there's still a huge opportunity for us in China, and it's why we're continuing to put a heavy focus there. I think, you know, one of the things that's really important is that the technical requirements of electric vehicles, particularly from a powertrain standpoint, are becoming a lot more demanding. And there's also a lot of other applications where China's moving up this technical requirement curve. This requires materials with higher performance requirements, and we have, you know, really we believe the best portfolio to match. Yeah. And, you know, where our, you know, KPDs sit in China, we're about half of where we are in the Western Hemisphere, and that's moved up substantially the last several years. But it is critical that we maintain that focus. Just really since the beginning of the year, we've had, you know, two sizable technical exchanges with two of the top five, you know, Chinese OEMs as a way to accelerate and drive business. Great thing about China Auto is that commercialization time tends to be much shorter, kind of more like six to twelve months as opposed to twenty-four months in the Western Hemisphere.
Salvator Tiano: Perfect. Thank you very much.
Operator: Thank you, everyone. We'd like to thank everyone for listening today. As always, we're available after the call for any follow-up questions. Daryl, please go ahead and close up the call.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.